Operator: Good day and thank you for standing by. Welcome to CONMED’s Third Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the Speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. Before the conference call begins, let me remind you that during this call management will be making comments and statements regarding its financial outlook, its plans and objectives. These statements represent the forward-looking statements that involve risks and uncertainties as those terms are defined under the federal securities laws. Investors are cautioned that any such forward-looking statements are not guarantees of future events, performance or results. The company’s actual results may differ materially from its current expectations please refer to the risks and other uncertainties disclosed under the forward-looking information in today’s press release as well as the company’s SEC filings for more details on the risks and uncertainties that may cause actual results to differ materially. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call, except as may be required by applicable law. You will also hear management refer to non-GAAP or adjusted measurements during this discussion. While these figures are not a substitute for GAAP measurements, management uses these figures to aid in monitoring the company’s ongoing financial performance from quarter-to-quarter and year-to-year on a regular basis and for benchmarking against other medical technology companies. Adjusted net income and adjusted earnings per share measure the income of the company, excluding credits or charges that are considered by the company to be special or outside of its normal ongoing operations. These adjusting items are specified in the reconciliation supporting the company’s earnings releases posted to the company’s website. With these required announcements completed, I will turn the call over to Curt Hartman, CONMED’s Chair of the Board, President and Chief Executive Officer for opening remarks. Mr. Hartman?
Curt Hartman: Thank you, Josh. Good afternoon and thank you for joining us for CONMED’s third quarter 2024 earnings call. With me on the call is Todd Garner, Executive Vice President and Chief Financial Officer; and Pat Beyer, our Chief Operating Officer. Today I will share with you our third quarter results and commentary on the announced succession plan. Pat will touch on AirSeal and our manufacturing progress and Todd will cover the quarterly financials and our updated outlook. We’ll then open the call to your questions. With that said, total sales for the quarter were $316.7 million, representing a year-over-year increase of 4% as reported and 4.3% in constant currency. Pat will later address the specific impacts of the hurricanes and I want to offer my sincere appreciation to our employees, global operations and logistics team and especially our facilities leader Ernesto Barnat who for my tenure has run a world-class emergency preparedness and response plan. We also acknowledge that many are still facing local hardships and our thoughts are with our impacted employees and those across the Southeast impacted by the hurricanes. From an earnings perspective during the third quarter, our GAAP net income totaled $49 million. This compares to net income of $15.8 million in the third quarter of 2023, excluding special items that affected comparability. Our adjusted net income of $32.7 million increased 15% year-over-year and our adjusted diluted net earnings per share of $1.05 increased 16.7% year-over-year. Overall, our top-line finished below our capabilities, but we again had several areas of strong financial performance in the quarter to include adjusted EPS growth, cash flow and our leverage ratio. I remain confident in the setup for CONMED and our ability to return to accelerated top line growth while continuing our leveraged earnings growth. Next, I would like to offer some comments on the succession plan that we announced today. Any comments here would be incomplete if I didn’t start with an immense amount of appreciation for my wife and family who supported my substantial engagement in this industry over the last 34 years. They gave and I took far more than I can ever repay. Further, I want to acknowledge and offer a sincere thank you to both our current and former global employees without whom our progress and successes would not have been possible. From a historical perspective, one key tenet of the philosophy I established when I took over the full time CEO role in November of 2014 was that our turnaround and future success would be dependent on first getting the right people. If we did that, then increased innovation, growth in revenue and growth in profitability would follow. Getting the right people means having a strong talent acquisition team, having a strong professional development program, and finally having a succession planning process across all levels of the company. Heather Cohen, the company’s recently retired long term Head of Human Resources and one of the few executives I retained upon my arrival, was instrumental in making those strategic initiatives a reality and deserves as much credit as anyone for the company’s turnaround. Heather’s effective work in these areas gave me the comfort to inform the Board in February of 2023 of my desire to retire no later than the end of 2024. This timeline allowed the Board to utilize our succession planning framework and perform its principal role of evaluating and selecting the right CEO in a responsible timeframe. November will mark my 10th year in the full time CEO role and I have a personal belief that 10 years is long enough. Pat Beyer was the very first person I hired after I joined CONMED in 2014, and I’m very pleased that the Board selected him to lead CONMED. Pat brings a long tenure of med tech leadership and a track record of success in the industry. He is a tireless people first leader who also understands the importance of innovation, how to engage customers and this role in the spotlight of the public markets. Pat has my full endorsement and I have the utmost confidence that he will bring fresh perspectives that will continue to advance the growth of CONMED in the markets we serve. I joined this industry 34 years ago and I have had a long and blessed journey, which began with a then small med tech company in Kalamazoo, Michigan. I served and learned under some of the best leaders this industry has ever had including John Brown, Ron Elenbaas [ph] and most directly Cy Johnson [ph]. Each of them took a chance on me and I am beyond grateful for their investment and belief in me. There are others like Brad Black who took the first chance on me by hiring me out of the military and Barry Conchie of Conchie Associates who has been a constant presence in my career. I would also point to Sherry Bertner and her team at Bertner Advisors who have been incredible thought partners for the CONMED team over the past decade. Obviously there are many more coworkers, peers and customers who have been instrumental to my career and its success. I am grateful for everyone who invested in me during my time in this industry. The last 10 years have been about respecting the past that created CONMED while ensuring we could compete in the future. We are proud that no matter the issue, we always made the right decisions that were in the best long term interest of CONMED. Our execution has not always been flawless, but our strategy is well understood by our employees and investors and the foundation of the company is solid. This leadership team is capable of continuing our pursuit of building a world class medical technology company that our owners are proud of. I look forward to supporting Pat and the entire management team both through this transition and in CONMED’s continued success in the future. Finally, I want to directly thank Todd who’s been an incredible addition since joining the team in January of 2018 and has been a true thought partner to me and our business leader since his arrival. To close out my comments, I look forward to seeing continued progress from this exceptional team as they advance our mission under Pat’s leadership. I’ll now turn the call over to Pat who will provide a quick update on AirSeal and our supply chain. Todd will then provide a more detailed analysis of our Q3 financial performance and take you through our updated full year guidance. Pat?
Pat Beyer: Thanks, Curt. When I joined CONMED in December of 2014, I was excited to join an organization with a passion for talent and engaged employees and a focus on delivering innovative clinical solutions to advance patient care. Those were the foundational stones on which CONMED was being built. Under Curt’s leadership, the operating pillar of delivering excellent results also thrived. Under his leadership, over the past 10 years, CONMED sales have grown more than 80%, EPS has grown by approximately 240% and operating cash flow has almost tripled. I have been a part of a great growth story and I’m committed to continuing that story. At the center of CONMED’s mission is improving patient outcomes. My focus for the coming months will be to continue to connect with our customers and our employees while transitioning to this new opportunity. It is an honor for me to be announced as CONMED’s next Chief Executive Officer. I look forward to advancing CONMED’s commitment to excellence for customers, patients, employees and shareholders. I also want to personally thank Curt and the board for their trust and confidence. Turning back to quarter. I appreciate the opportunity to share more information regarding our AirSeal and Orthopedic businesses. As it relates to AirSeal, I wanted to give some insights into what we are seeing in the field. During the third quarter, U.S. capital sales of AirSeal saw continued strong growth. We have not seen any slowdown in AirSeal capital orders in the U.S. nor have we seen any slowdown in the demand for disposables. We are continuing to monitor the locations where new robots are in use. As some of these robots are now moving past their initial trial periods. We continue to see surgeons return to using AirSeal for precision clinical insufflation with the new robotic especially in the longer and more complex procedures that we talked about last quarter. We continue to believe this validates surgeons preferences for AirSeal for clinical insufflation and the associated results including shortened length of stay, reduced post-surgical pain and quicker postoperative recovery. Now turning to Orthopedics. We took positive steps with our orthopedic business in the third quarter to improve our ability to grow and take market share. We mentioned to you on last quarter’s earnings call that our orthopedic businesses supply chain had improvements to make. We made progress on these fronts during the quarter and expect to continue that trend in the fourth quarter. We remain focused and committed to getting our commercial teams in a position to win in the market. At the end of the third quarter, we communicated that our Largo facility, where many of our orthopedic products are manufactured, had suffered some manufacturing slowdown at the very end of the quarter as Hurricane Helene hit. Approximately two weeks later, Hurricane Milton hit the Largo area, resulting in a shutdown of our headquarters and manufacturing plant in Largo for four additional days while we worked to quickly reopen our facilities. It took several more days for attendance to fully ramp up as many of our employees were dealing with the impact that the hurricane had on their personal life. Our facilities weathered the storm without issue and most importantly, all of our employees were safe and accounted for. With that, I’ll turn the call over to Todd who will share more details with you on our third quarter results and our outlook.
Todd Garner: Thank you, Pat and congratulations. I also want to thank Curt for his leadership and partnership and wish him well in retirement. All sales growth numbers I referenced today will be given in constant currency. The reconciliation to GAAP numbers is included in our press release. As usual, we have included an investor deck on our website that summarizes the results of the quarter and our updated guidance. We did have one additional sales day in Q3 2024 versus Q3 2023. For the third quarter of 2024, our total sales increased 4.3%. For Q3, our sales in the U.S. increased 7.4% versus the prior year quarter and our international sales grew 0.2%. The third quarter of 2023 was very strong internationally, growing 15.1%. Worldwide, orthopedics grew 5.2% in the third quarter. In the U.S. orthopedic sales increased 7.4% and internationally orthopedic sales grew 3.9%. As Pat said, we remain focused on improving our service levels in the sports medicine space. The hurricanes affecting the southeastern part of the United States delayed that progress a bit at the end of September and for a longer period in early October. Also, about 35% of our U.S. foot and ankle business comes from the Southeast region, which includes the states impacted by Hurricanes Helene and Milton. It’s difficult to be too precise on the potential impact, but we know the procedures were rescheduled because of the storms. I’ll talk more about that when I get into our financial guidance. Total worldwide general surgery revenue increased 3.6% in the quarter. U.S. General Surgery revenue grew 7.4% while internationally General Surgery revenue declined 5.0%. The third quarter of 2023 was very strong for General Surgery internationally, growing 23.8%. AirSeal continued the same trend of growth internationally even against that high comparable. As Pat mentioned, in the U.S. AirSeal also continued to show strong growth in both disposable and capital revenue, consistent with prior trends. Just a note for next quarter, Q4 2023 was a very strong quarter for AirSeal globally and in the U.S. with capital sales in the U.S. above 60% growth. Now let’s move to the expense side of the income statement. We will discuss expenses and profitability in the third quarter excluding special items which include charges for acquisitions and contingent consideration, legal matters, amortization of intangible assets, and amortization of deferred financing fees, net of tax. Adjusted gross margin for the third quarter was 56.5%, an increase of 60 basis points compared to the prior year quarter. Research and development expense for the third quarter was 4.3% of sales, 20 basis points higher than the prior year quarter. Third quarter adjusted SG&A expenses were 37.2% of sales, 50 basis points lower than the prior year quarter. On an adjusted basis interest expense was $7.8 million in the third quarter. The adjusted effective tax rate in Q3 was 21.0%. Third quarter GAAP net income was $49.0 million. This compares to GAAP net income of $15.8 million in Q3 2023. GAAP earnings per diluted share were $1.57 this quarter compared to $0.50 a year ago. Excluding the impact of special items discussed earlier, in the third quarter, we reported adjusted net income of $32.7 million, an increase of 15.0% compared to the third quarter of 2023. Our Q3 adjusted diluted net earnings per share were $1.05, an increase of 16.7% compared to the prior year quarter. Turning to the balance sheet, our cash balance at the end of the quarter was $38.5 million compared to $28.9 million as of June 30. Accounts receivable days as of September 30 were 66 compared to 65 at the end of June and 68 a year ago. Inventory days at quarter end were 224 compared to 196 at June 30 and 215 a year ago. We made progress on our safety stocks for faster moving items this quarter, we’re focused on also reducing the inventory levels for slower moving items. Long term debt at the end of the quarter was $940 million versus $965 million as of June 30. Our leverage ratio on September 30 was 3.6 times. Cash flow provided from operations in the quarter was $51.2 million compared to $46.1 million in the third quarter of 2023. Capital expenditures in the third quarter were $3.4 million compared to $5.4 million a year ago. Now, let’s turn to financial guidance. We know that Hurricane Helene’s devastation in North Carolina affected a key medtech player that supplies IV solutions, which has already delayed surgical procedures. While we’re not going to try and project that impact on November and December, we are incorporating what we’ve already seen in our updated guidance today. Pat mentioned the impacts of Hurricanes Helene and Milton on our facilities. And while we are working hard to make up the lost hours of production, we likely won’t be able to make all those up in the fourth quarter. We also know that procedures in the region were deferred due to the storms. With that context, we expect fourth quarter reported revenue to be between $339 million and $344 million. That would put our full year reported revenue guidance between $1.300 billion and $1.305 billion. With foreign exchange now looking immaterial for the full year. We project Q4 EPS to be between $1.18 and $1.23, which represents growth between 11% and 16%. That would put our new full year guidance for adjusted EPS between $4 even and $4.05, representing growth between 15.9% and 17.4%. With that, we’d like to open the call to your questions and I’ll hand it back to Josh.
Operator: Thank you. [Operator Instructions] Our first question comes from Kristen Stewart with C.L. King. You may proceed.
Kristen Stewart: Hi. Congratulations, Curt, on a really successful career. You’ll definitely be missed.
Curt Hartman: Thank you, Kristen.
Kristen Stewart: I was wondering if I could just start off just talking a little bit more about General Surgery, it came in a little later than what we were anticipating. I hear the comments around AirSeal, so it sounds like that was not a contributor in the quarter. Is there anything that was a little bit weaker. I also noticed capital equipment revenues were down almost 10%. So just wondering if you could just expand upon General Surgery a little bit more detail.
Todd Garner: Yes, and that’s Kristen, that’s really just a function of last year. If you remember a year ago, we were getting out of back order in kind of big swaths and Q3 last year was a large improvement in that. And so as I said in my prepared remarks, international was really strong last year. And in the General Surgery specifically, we had a lot some big capital products that released from backorder in the third quarter of last year.
Pat Beyer: And think of those, Kristen, as circuit board availability that would impact generators and energy platforms, which CONMED has a pretty comprehensive portfolio of both serving international and U.S. market.
Kristen Stewart: Okay. And then just on the orthopedic supply situation, it sounds like you’re making some good progress there. Do you still feel like that the impact will be just relegated to 2024? Do you think that some of the supply constraints could shift into 2025? Thanks for the question.
Curt Hartman: Yes, as Pat said, we did make progress. The hurricanes were a little bit of a speed bump. So we remain laser focused on continuing that progress and getting our teams back on offense as soon as we can.
Operator: Thank you. Our next question comes from Mike Matson with Needham. You may proceed.
Unidentified Analyst: Hi guys. This is Joseph on from Mike. Maybe just another one on the orthopedics business. Just in terms of the supply chain, I guess, what are the implantables still being affected right now? Is it more isolated to say knees and shoulders? Or is it still pretty broad effect at this point? I know you guys have talked about finding alternate suppliers and maybe qualifying some of them. So I’m just kind of wondering the progress of that as well.
Pat Beyer: Yes. This is Pat here, to give you some thoughts here. Again, I don’t want to characterize it as one product or one category that we’ve made improvements on or not improvements on. We’ve actually made pretty good improvements on all of our categories there to improve the supply chain. And the path to getting out of the challenges we’ve had are really two pronged. It’s increasing manufacturing capability and expansion here and improving the supply chain with some of our vendors. And we continue to be laser focused on that.
Curt Hartman: We’re still working on it to be fair. And I think we tried to be clear with that in the script. But in the quarter, our U.S. orthopedic business grew 7.4%, which I would say is at the upper end of the market. Internationally was a little below that again, that relates to some of what Todd spoke to in terms of Q3 last year and some large shipments coming out of back order and some other related international issues. So, I feel like we’re definitely moving in the right direction. More work to do and our team is laser focused on it.
Unidentified Analyst: Okay, thank you very much. Just one question from us this time. Congrats on the retirement, Curt.
Curt Hartman: Thank you.
Operator: Thank you. Our next question comes from Robbie Marcus with JPMorgan. You may proceed.
Lily Delaney: Hi, this is Lily on for Robbie. Thanks for taking the question. I’ll echo everyone’s comments and say, Curt, you’ll be missed and we wish you the best. And welcome to Pat. You had talked about confidence in being able to deliver accelerated top-line growth and leveraged earnings growth. Is 2025 the year that you think you can return to that high single pushing double-digit growth profile. I know it’s a little bit early still, but any color you can give on your thoughts for next year would be helpful.
Curt Hartman: I won’t be sitting in the chair offering that guidance. So, I will still be the single largest shareholder. So, I would love to see great numbers. But I think you’re in very qualified hands here with Todd and with Pat and they’ll. I’m going to speak for them, they will offer guidance in January of 2025 when we always offer guidance. And I think it will be appropriate guidance for the company and what we have in front of us and what we’re pursuing. And I tried to reference our financial performance this quarter. You know, teen level adjusted EPS growth; it was one of, if not our best cash performance leverage ratio down to 3.6 [ph]. So the outlook on the leverage ratio continues to make great progress. So it’s really just about reinvigorating the top line. And I think we’re doing all the right things to leverage the portfolio we’ve built to do that, but we’ve got to deliver it. And that’s where the laser focus is right now.
Lily Delaney: Got it. Okay. And then just as a follow up, I think you had previously spoken about a transitory quality issue in smoke evacuation. So can you speak to whether that’s still impacting you and how did Buffalo Filter perform in the quarter? Thanks so much.
Todd Garner: Yes, no, that was transitory in Q2, Lily. We got that behind us in Q2 and Q3 was better, but not all the way back to our normal trend. But Q3 was a good sign heading back to where we want to be.
Operator: Thank you. [Operator Instructions] Our next question comes from Vik Chopra with Wells Fargo. You may proceed.
Dino Weinstock: Hi. I just want to echo everyone else’s comments, and congratulate Pat, and also thank you to Curt. Just wanted to ask a question, I guess related to it. What are your top three priorities for 2025, Pat, going forward?
Pat Beyer: Vik, taking over for Curt, my focus is to spend time with customers, to spend time with our employees and connect with our shareholders and then continue to advance the cause and be part of a growth company. And I’m super excited about, taking over for Curt and continuing the story of success that CONMED has had for the last 10 years.
Dino Weinstock: Great. Oh, and this is Dino on for Vik Chopra. Just follow up question on the hurricane impacts in the quarter. You mentioned there are rebookings of some procedures or delays. Have you seen impact as a result of the IV fluid shortages and if there’s any detail you could expand upon?
Pat Beyer: Yes, we have seen that already. I think, it’s interesting. One of the best sources is ChatGPT. Actually you can go ask ChatGPT to list the systems that have talked about allocating or deferring procedures and you’ll get a long list. So we did see that already in October. We have captured that in our guidance. We’ve kind of assumed a status quo from October for the quarter. We don’t pretend to project if it’s going to get worse or better. So we’ve kind of assumed that what we’ve seen already in the quarter is kind of what we’re dealing with. And so but yes, that is just factual that hospitals have already started allocating and deferring to make sure that they have the products they need for the patients that need them the most.
Operator: Thank you. Our next question comes from Kristen Stewart with C.L. King. You may proceed.
Kristen Stewart: Hi. Thanks for taking the follow up. Todd, I just wanted to ask, on gross margins, we saw some nice expansion in the quarter, still expecting to see good expansion on a year-over-year basis. Is there anything that gives you pause for concern just in terms of the outlook for gross margins in terms of seeing continued success and expansion?
Todd Garner: Yes, we’ll talk about 2025 in January, Kristen. Q4 looks like we thought it did 90 days ago, I said gross margin should be around 57% in Q4 and that’s still the case. And so I know that CONMED has a good mix advantage and we’ve got a structure to be able to improve gross margins heading into the future. And we’ll quantify that better for 2025 in January.
Kristen Stewart: And then just wanted to ask on the contingent consideration, could you just provide a little bit more detail on that adjustment for the quarter, what that was related to?
Todd Garner: You bet. So, as we’ve talked about, the foot and ankle business has been slower this year than we wanted it to be. We’re working hard to get that back on offense, but that being slower than expected as part of that adjustment, BioBrace is doing really well currently. We have adjusted our timing of when we expect the trial to read out, and that’s adjusted out a little bit. We’re really happy with the robust nature of the trial that we have designed, but it took a little. That’s actually a more robust, more significant study than was anticipated at the time of acquisition. And so therefore that took us a little longer to get that off and running. So no negative signs there, just kind of a shift in timing. But that shift in timing in the outer years also affects that contingent consideration. So we still feel really good about both of those acquisitions, and I think we’ve disclosed everything about how those are doing appropriately.
Operator: Thank you. I would now like to turn the call back over to Curt Hartman for any closing remarks.
Curt Hartman: Thank you, Josh. I want to thank everybody for your time today. And given the succession plan announcement, I will not be on the next call. And so I want to take this opportunity to thank each of you for your attention to CONMED and your support during my tenure. You are in good hands with Pat and Todd, and they look forward to speaking with you on our next earnings call. With that said, thank you and enjoy the rest of your evening.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.